Yuki Nishio: [Foreign Language] Now I'd like to turn this call over to KK, Senior Vice President, JAPAC and CFO.
S.Krishna Kumar: Thank you, Nishio-san. Good afternoon, everyone, and welcome to Oracle Japan's Second Quarter and Fiscal Year 2026 Earnings Conference Call. We achieved excellent results this Q2, particularly in our cloud business, reinforcing our position as a leading cloud vendor. While shifting our focus to cloud, we have also maintained steady order intake in our license business. We are pleased to share that 2 months ago, we announced our fourth alloy partner in Japan, SoftBank. We have initiated a collaboration to offer services with data sovereignty by operating data and systems in the cloud under our country's jurisdiction. Based on this partnership, SoftBank will launch Cloud PF type A, a cloud platform service tailored for the Japanese market starting from April 2026. In addition, AI services provided through Oracle Cloud Infrastructure will also be rolled out as they become available. We had a lot of cloud customers in various industries like public sector, manufacturing and financial industries. So now let me give you some examples. Number one, ITOKI Corporation. ITOKI has developed a predictive maintenance system that detects signs of malfunctions in automated logistics warehouses. Using Oracle's AI technology, leveraging Oracle autonomous AI database and Oracle Cloud Infrastructure data science, the system collects and analyzes operational data automated warehouses with AI to identify potential issues in advance. In the logistics industry, where automation and labor-saving measures are rapidly advancing due to labor shortages, sudden equipment downtime poses significant risk to production and planning. To address these challenges, ITOKI has developed a predictive maintenance system, Smart Maintenance, that enables the visualization of operational status and analysis of operational data to detect signs of malfunction. This system reduces downtime and supports planned maintenance. And now what I'm saying is going to be very important. By combining Oracle AI Vector Search, LLMs and customers' proprietary data, the system delivers highly accurate responses. Additionally, it enables rapid development and deployment of machine learning models within database even at large scale. This is an extremely important development especially for Japan, and we are going to see more and more adoption across industries of these technologies. Customer #2, Neo First Life Insurance. Neo First Life Insurance, a member of Dai-ichi Life Co. has surpassed 1 million policies by providing optimal and comprehensive coverage at affordable premiums along with fast and simple online support. The company has adopted Oracle Database at Azure as the database foundation for its insurance policy management. By implementing Oracle Database at Azure, on Oracle Cloud Infrastructure hosted within Microsoft Azure data centers, Neo Life -- Neo First Life ensures high availability and scalability for its mission-critical policy management system, which manages over 1 million contracts while optimizing costs. Customer #3, Tokio Marine Holdings. Tokio Marine has achieved profit growth, particularly in its overseas businesses through operations spanning 57 countries worldwide. As they expanded, there was a growing need for a more advanced management system that could facilitate the timely collection and analysis of overseas group companies' performance to enable decision-making and support smooth communication across group companies. To address this, the company has implemented Oracle Fusion Cloud EPM as its global management system. This allows for construction of interfaces without altering the accounting systems of the overseas group companies, enabling efficient and timely collection of information consistent with those of overseas subsidiaries. As a result, various management performance indicators can now be analyzed in accordance with the granularity of the segment information maintained by the overseas group companies. These were just to give you a sense of the broad outreach in the market that we have with our different products and services and to undermine Oracle's presence in most mission-critical systems applications and industries. Now let me move to the numbers. Our total revenue was JPY 134.677 billion growing at 7.5% and compared to previous year, driven by strong growth in our cloud revenue. Total cloud revenue was JPY 39.129 billion, up 38.3% and now represents 29% of the total company revenues. Infrastructure consumption revenues had very strong momentum, which includes autonomous database. Operating income was JPY 42.659 billion, increasing 1.8%. Net income was JPY 29.913 billion, up 1.9%. Total revenue and all profit categories hit record high for the second quarter. We also have a robust pipeline for the second half of the year. And at this point in time, I intend to stick with my revenue guidance for the year. Thank you very much. Back to you, Nishio-san.
Yuki Nishio: [Foreign Language] [Operator Instructions] So the first question from Matthew of JPMorgan. It is about AI-related revenue and the breakdown of the percentage as well as growth rate.
S.Krishna Kumar: Well, we don't break down revenues by AI because AI is embedded in all our products. So we can't identify sort of AI revenue separately. But the fact is that AI is driving and will drive our future growth in Japan. The segments that I have that we already split for public consumption is what you see in the supplementals, and they will continue to be the same. Thank you very much.
Yuki Nishio: [Foreign Language] The second question is from Kikuchi-san of SMBC Nikko Securities. You mentioned that the second half pipeline is robust. So could you elaborate what kind of pipeline is it? And the license in the first half was a little weak. So could you tell us that the pipeline of the license is stronger in the second half? Or is it the robustness comes from the alloy-related business?
S.Krishna Kumar: Thank you for the question. It is a mixture of everything. We do have a strong license pipeline in the second half. And by the way, we do expect our license to decline in small percentages because the future is in cloud and our cloud revenue -- growth in our cloud revenue will overcome the decline in license revenues as we go into the future. So yes, our outlook for the second half for license continues to be strong as expected, and growth will continue to come from cloud revenues.
Yuki Nishio: [Foreign Language] Another question from Matthew from JPMorgan. So about the financing of the parent company, the Oracle Corporation, and as well as the cash flow. There are some concerns and probably that is impacting the share price of Oracle Japan. We understand that basically, they are not related. But if you can comment on the potential increase of the loan to the parent company as well as this concern about the minority shareholder, we would appreciate it.
S.Krishna Kumar: Oracle Japan is an independent company, and we finance our own growth. We rely on the corporation for the intellectual property that it supplies to us, and it will continue to do so. So I don't think anything that happens at Oracle Corporation impacts Oracle Japan's independent business. I think I would leave it at that. Thank you.
Yuki Nishio: [Foreign Language] Another question from Kikuchi-san of SMBC Nikko. The question is that the first half expenses, the personnel cost especially increased year-on-year. But personnel cost was up from the second half of the previous year. So is it okay to forecast that this growth is smaller than the year before? And are there any other expenses which are likely to increase in the second half?
S.Krishna Kumar: So for overall expenses at this point in time, we don't see any extraordinary increases or changes in the second half. There will be the normal increases that you would expect to correspond to a growing business. Regarding the first half personnel expenses, there was some onetime restructuring expenses. As we continue to look at our organization and refresh our people with the right skill sets to support future Oracle Corporation's growth. Some of these expenses have to be incurred at some point. So it's basically that it's a onetime expense.